Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ball Corporation Second Quarter 2011 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, July 28, 2011. I would now like to turn the conference over to John Hayes, President and Chief Executive Officer of Ball Corporation. Please go ahead, sir.
John Hayes: Thank you, Lyn, and good morning, everyone. This is Ball Corporation's Conference Call regarding the Company's Second Quarter Results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company's latest 10-K and in other company SEC filings as well as the company news releases. If you don't already have our earnings release, it's available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found on our website. Joining me on the call today are Scott Morrison, Senior Vice President and Chief Financial Officer; and Ray Seabrook, Executive Vice President and Chief Operating Officer in Global Packaging. In a moment, Scott will discuss our results and Ray will follow with details about our packaging operations. I'll close with comments in aerospace and the outlook for the balance of the year and beyond. As mentioned in our press release Ball reported solid second quarter results due largely to our people executing well against our strategy, maximizing value in our existing businesses, and our company's broadening our geographic reach and expanding into new products and capabilities. Highlights from the quarter include: overall volume growth in our global beverage can businesses of more than 3% and strong operating performance across all of our businesses; excellent program performance in our aerospace business, continued double-digit growth in emerging markets, particularly China; benefits from our prior actions to better match our supply with market demand in North America; and better-than-anticipated performance from aluminum slug and extruded aluminum aerosol businesses we acquired in the second half of last year and early this year. In addition to our strong results in the quarter, we broke ground on 3 emerging market beverage can plants in Brazil, China and Vietnam; started a beverage can line in Serbia and relocated beverage can equipment in Canada; completed our expansion of our aerospace antenna manufacturing capabilities; began expansion of our satellite manufacturing operations in Boulder, Colorado; launched our new North American packaging graphic center in Colorado; and earlier this month, launched our 8-ounce trim can in the United States to meet school guidelines. Our numerous CapEx projects that are diversified among many of our businesses from here in North America to Europe, Asia and South America are on track and doing quite well in. Continue to monitor supply and demand in each of those markets and recent M&A investments are performing well above expectations. So in short, despite a challenging economic backdrop that muted volumes in several of our key markets, Ball is performing quite well. And with that, I'll turn it over to Scott.
Scott Morrison: Thanks, John. Ball's comparable diluted earnings per share in the second quarter were $0.85 versus last year's $0.69, a 23% year-over-year improvement. The following factors contributed to improved results: consolidation of our majority-owned Brazilian JV; the acquisition of the extruded aluminum businesses in Europe and North America; volume improvements and excellent operating performance in our metal packaging businesses, particularly in China; exceptional program performance in our Aerospace business; benefits of share repurchases; and a $0.04 FX benefit in the quarter. These positive factors were partially offset by a year-over-year increase in interest expense due to recent acquisitions and the consolidation of Brazil. As a reminder, first half performance was favorably impacted by 6 additional accounting days in the first quarter compared to the first quarter of 2010. Second half 2011 performance will include 6 fewer accounting days in the fourth quarter than the prior year. So when we talk about comparable volumes, we are adjusting the first half volumes to reflect the extra days. For a complete summary of first quarter results on a GAAP and non-GAAP basis, please refer to the Notes section of today's earnings release. There are no changes or updates to our 2011 financial metrics provided on our April call. We still anticipate full year interest expense to be closer to $185 million, our full year effective tax rate will run close to 32%. CapEx will approach $500 million. And as we said before, we expect 2011 free cash flow of at least $400 million, the majority of free cash flow going to share repurchases. Through the first 6 months of 2011, we've acquired a net $241 million of our stock. At current exchange rates, yearend net debt is expected to be approximately $3 billion, up slightly due to the Aerocan acquisition. The balance sheet is solid, our capital structure is highly competitive, the operations are providing strong results and cash flow. We will continue our long-standing approach to balanced capital deployment and consistently return value to our shareholders through share repurchases and dividends. With that, I'll turn it over to Ray to talk more about the packaging operations.
Raymond Seabrook: Thanks, Scott. Overall, our packaging business continued to perform in line with expectations despite some challenging economies and weather in selected parts of the globe. Execution on capital spending projects is progressing as planned, and all projects are within budget. From an overall beverage can market perspective through June, we are seeing volumes up in international markets, in North America, we are doing better than the market. On a comparable basis, our North American beverage can volumes were flat in the quarter, about 2% through 6 months. Through the first half, operating earnings in the Americas are also well ahead of last year, and that's a trend we expect to see to continue through the remainder of the year. We are working hard on lowering our manufacturing cost structure and leveraging innovation in North America. The Torrance, California plant will be closed in the fourth quarter; relocation of the 12-ounce can line to Whitby, Ontario is complete; a new specialty can line will be up and running in our Fort Worth, Texas plant by September; and a second Alumi-Tek bottle can line will also be up and running in our Golden, Colorado plant by the end of the year. Year-to-date volumes in China are up over 35% due to strong market demand and the acquisition of the Foshan joint venture beverage can plant in June of last year. Our China manufacturing capacity is stretched, and we are speeding up existing equipment wherever feasible and bringing on more capacity with the new beverage can plant in Qingdao, China by the end of the year. We continue to foresee short a longer-term growth prospects in Asia, net -- and we plan to grow with our customers, which will most certainly require further investments as we look to 2012 and beyond. In the quarter, Brazil beverage can volumes were softer than expected due to higher beer pricing and a wet winter cold season. We expect a better second half as we move into the summer season in Brazil, with year-over-year volume increases in the 5% to 7% range. The construction of a new beverage can plant in Alagoinhas has commenced, and we look forward to the startup of this plant in the first quarter of next year. In our European operations, trends are also positive. European beverage can volumes, up 5% on a comparable basis through the first 6 months. The production output of the newly installed second beverage line in our Belgrade, Serbia plant is meeting expectations. Despite cool summer weather in Europe so far this year, supply/demand balance remains relatively tight. Aluminum aerosol volumes are up over 20% year-over-year in our Ball Aerocan business, which we acquired in January of this year. With discontinuing[ph] strong demand, we plan further aerosol capacity additions for 2012. Now the food and household products results in the second quarter were solid and volumes held up reasonably well in the quarter. Food can volumes were flat and aerosol volumes were slightly lower. Second quarter operating earnings benefited from lower administrative and manufacturing costs, sales price mix improvements and earnings from the aluminum slug business, which we acquired in July of last year. We expected softness in the food can pack, we anticipate second half earnings in this segment will be below last year. The full year results are still forecasted to be better than the year ago. To sum up, our people continue to step up and deliver. And while we have numerous projects moving forward around the globe, we are on track to deliver these on time and within budget, which will set us up nicely for 2012 and beyond. With that, John, I'll pass it back to you.
John Hayes: Great. Thanks, Ray. A few comments on aerospace and then the outlook. Our aerospace and technologies business posted double-digit EBIT margins in the second quarter. Earnings increased primarily due to continued excellent program performance. Backlog ended the quarter just over $900 million. Washington continues to be an interesting and challenging place to observe and conduct business. From a funding perspective, our 2011 programs and most of the 2012 projects are in good shape. While aerospace's capabilities are strategically important to our customer base and provide upside for the segment over the next couple of years, the goal of Ball's businesses are focused on delivering cost effective solutions and the highest quality service well in an environment where our aerospace customers are more focused than ever on best cost and best value. In terms of program highlights, we successfully tested our prototype docking sensor during the May space shuttle mission, guiding space shuttle Endeavor to a docking operation with the International Space Station. NASA has identified this technology as critical for future space exploration missions. Now our funding remains -- risks remain, our people in aerospace are delivering on their commitments exceptionally well. So in summary, our company and people are performing very well despite some external challenges, and we are bullish on the opportunities in front of us to further improve results. We will continue to deploy capital to enhance our diverse portfolio of businesses and return value to our shareholders. At the midway point of the year, we are well on our way to achieving our long-term goal of 10% to 15% earnings growth, and we expect second half performance will exceed that of last year's second half. So with that, Lyn, we are ready for questions.
Operator: [Operator Instructions] The first question comes from the line of Ghansham Panjabi from Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated: On Brazil and kind of thinking back to the first quarter, I think the beer market there was weak. I think some of your customers attributed unfavorable weather down there. Do you think that what your -- you and the industry saw in the second quarter is inventory reduction related, just based on what happened in 1Q?
Raymond Seabrook: I think it's a number of things, Ghansham. It's -- they've talked to our guys in Brazil, it's been the wettest coldest winter ever kind of down there. So they -- the market -- the whole market in the second quarter was down 7%, 8%, believe or not, and that's kind of a first for a long time. So it was a combination of increased taxes on basically, beverages, beer and soft drinks, but primarily our business is beer there, so it hurt us. And we think that, that's pretty much washed out, and we expect to have a much better second half.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated: Okay. And then switching to North America, obviously, your customers have pursued a strategy of price or volume, and just listening to the comments over the last couple of weeks or so, they may seem to be rethinking that, just given the weakened -- your spending environment in North America. Have you seen any sort of improvement in July or is that still too early?
Raymond Seabrook: I think it's a little early. Let's -- with -- John mentioned that, with Washington and all the uncertainty, is causing a lot of disruption in the Americas, let's face it. Until that gets straightened out, I think, just consumers are nervous, whether it's buying soft drinks or buying a new house or whatever it is, so I think it's just a little tough in all businesses in the Americas, until the U.S. gets its act together. But yes, we're seeing the mark, it's a little soft, it's been a little bit better through July for us, but it hasn't picked up to the volumes we'd like to see. Let's with the...
Operator: The next question comes from the line of George Staphos from Bank of America Merrill Lynch.
George Staphos: The first question I had is around capital deployment and the execution on the projects. As we think about 2012, it seems like it would be difficult for you to have the same level of activity, and if, parenthetically, spending, that you saw or seeing in 2011. On the other hand, you're executing well, so maybe that increases your appetite for the next project. How should we think about this equation, realizing it's a little bit early to be -- to guiding to free cash flow and CapEx for 2012?
John Hayes: George, when you think about our CapEx this year, it's not just in emerging markets and driven by growth. As I had mentioned in my comment, yes, we're doing everything in aerospace, we're doing some things in terms of specialty here in North America. I think in every one of our businesses, say, probably for food can. We have capital projects that, as you said, we are executing on very well. As you think about going into 2012, we are opportunity focused, and we're trying to drive it with our customers. We -- as we sit here today, I would not anticipate that we're going to have the wide variety of different capital projects going on, that as Ray mentioned, we continue to see opportunities in Asia, so that is an area of focus for us, for example.
George Staphos: So John, if I could, do you think that actually might mean lower spending next year where...
John Hayes: Yes, I think it could. How much lower is what we just don't know right now because opportunities pop up and we want to be responsive to those.
George Staphos: But it would also suggest that -- well, your priorities for the use of that excess cash wouldn't have -- wouldn't change on a going-forward basis, would it?
John Hayes: Absolutely not. In fact, what Scott said is we believe our company has created a lot of value over the years by returning it to shareholders, by making acquisitions and by investing in our business, and we look at those as 3 buckets as we go forward just like we have in the past.
George Staphos: Last question, I'll turn it over. On aerospace, I think you said, if I heard you correctly, that the backlog is now around $900 million, just under -- I recall from the last quarter is about $1 billion. If you could relay what the delta has been, I guess, you're starting to work on those projects and that's the reason why the backlog is declining. But if you could help me understand what the delta there is. And you mentioned the risk that M&A from what's going on in Washington, how would those actually materialize in your business? Would it mean a stretching out of the revenue on project work or could we see, if the wrong things happen, a reduction in your backlog as projects are canceled?
John Hayes: Well, yes. Your point is spot on, and the summer is debt ceiling in Washington. Our backlog is a funded backlog, and so you've seen a decline quarter-over-quarter because the government just hasn't been funding some of the longer-term things. And so as I mentioned in our prepared remarks, that we believe 2011 and 2012 we're in pretty good shape on that, but until there's more clarity around what the government's priorities are going forward, I do think that there is a little bit of risk in the outer year's. I.e. going into '13 and beyond with some of the projects that we won. But as we sit here today, many of the projects that we won are very strategic and they have finite lives relative to replacements. And for that reason, we feel pretty good that we're in good shape relative to others.
Operator: The next question comes from the line of Alton Stump from Longbow Research.
Alton Stump - Longbow Research LLC: I guess, I've asked this question, I think, the couple of quarters in a row, but any update on the Eastern European market in bev cans whether or not you're seeing any improvement there?
John Hayes: Well, this is John, I'll take the first crack. The short answer is yes, we are starting to see improvements there. I think In Eastern Europe, and that includes the Serbia region as well as, I think in the quarter, it was up around 11% or so. And so we are starting to see some improvement there. But recall back in the mid-2000s and even up until the financial crisis, we're not seeing the 30% growth that we had been seeing. But it is good, healthy, consistent growth.
Alton Stump - Longbow Research LLC: Okay. And then just, I guess, one quick follow-up. With your comments on profitability being down in the back half in your food can business, I understand that there's going to be a late harvest this year, therefore, a shift from 3Q into 4Q most likely, but I get confused as to why overall for the back half profits would be down?
Raymond Seabrook: Well, it's primarily because some of our customers aren't planning as much product as they have. They're taking product out of the system, so we don't have as much planning in some of the fields as we normally do, but -- that's one of the reasons.
Operator: The next question comes from the line of Chip Dillon from Vertical Research Partners.
Chip Dillon: First question has to do with the China situation, Ray, you talked about the 35% growth. Could you talk about that in terms of how much is -- I assume is from -- some of it is from acquisitions and how that growth compares to the overall market?
Raymond Seabrook: Yes, I think the market's up somewhere between -- the market's up around 15%, I think, year-to-date. We're up higher, and some of that's, obviously, our acquisition. We acquired a joint venture plant with 3 can lines, and so it's -- I think it might be the largest can plant in China. I'm not sure of that, I think it's certainly, but it's one of the largest. So that obviously contributes to our growth. But as we look at what's going on in China, as we talk to our customers, as we project the market, it's -- the beverage can market is relatively small in China on a relative basis. We got beer penetration at -- the cans are like 2%. And so it's going to continue to grow, and we are here, may capture our fair share of that. And that's exactly what we plan to do. We think we're lined up with some wonderful customers and we plan to, as I said, capture our share as that's progressing. So if you don't need a rocket scientist to figure, it's going to continue to increase, we just got to pick up our spots and make sure we've picked the bright spots. SO that's what we're trying to do, and that's what we will do.
Chip Dillon: And when you look at the Vietnam opportunity that you guys are pursuing right now, it seems like others have also targeted Vietnam, but it seems like one that had might be slowing back or backing off a little bit. Do you find, as a result, the market there is healthy and that the competitive situation there is constructive?
Raymond Seabrook: Yes. We're -- I'm very confident with our Vietnam operations. We have signed contracts for the volume. My guess is that line will be filled up pretty much, we get the plant, the plant started up and, -- it's -- so it's been a very strong market. We're -- again, we're just trying to pick up a little bit of our share and I don't see any issues for us in Vietnam. I just think we got to get the plant built and get it up and running. That's all.
John Hayes: To amplify on that from a consumer perspective. Consumer spending has continued the increases in Vietnam. The can is quickly becoming a preferred package there, so we're seeing can penetration continue to increase. And so you combine those 2 factors and the overall health of the end markets in Vietnam remain quite positive right now.
Chip Dillon: Got you. And then real quickly, and this might be a little off the wall, but I'd tell you the name if I could remember, but one of the industrial companies that one of my colleagues covers mentioned the other morning that the government sent them a paper check for $100 million, a payment that normally would have been wired. Are you seeing any changes in how the government pays you? Are they actually sending you checks when before they would wire you money?
John Hayes: Are you saying the U.S. Government?
Chip Dillon: The U.S. Government.
John Hayes: Yes. No, we haven't seen any changes if all that's happening.
Operator: The next question comes from the line of Philip Ng from Jefferies.
Philip Ng - Jefferies & Company, Inc.: With volume's off to a slow start in North America bev, I just want to get a better sense of how operating rates are stacking up for your industry as well as for Ball, and do you think there's a need to take out some capacity later this year?
John Hayes: This is John. It's -- for us, as Ray said, year-to-date, we're up a couple of percent, and we had always said that as we entered into 2011 we'd expect to be up mid-single digits relative to the market, and we are. We've taken out a fair amount of capacity, 4 plants over the last couple of few years, and Torrance is coming down in the fourth quarter of this year. So from our operating rates, we're in pretty good shape here in North America, but we're also wise enough to constantly be monitoring those things. And we know longer term, if we need to do some things, we're going to have to take the tough decisions and do them. But as we sit here right now, we have no plans to be doing that.
Philip Ng - Jefferies & Company, Inc.: And could you remind me if there is any sizable contracts up for renewal? I know, most of that got shored up last year, if I remember correctly.
Raymond Seabrook: This year?
Philip Ng - Jefferies & Company, Inc.: This coming year, for 2012.
Raymond Seabrook: We do have one fairly sizable contract up for renewal in 2012.
Philip Ng - Jefferies & Company, Inc.: That's for North America, right?
Raymond Seabrook: Yes.
John Hayes: Yes, and that's for...
Operator: The next question comes from Alex Ovshey from Goldman Sachs.
Alex Ovshey - Goldman Sachs Group Inc.: Can you just talk about how you see these supply/demand dynamics evolving in Brazil for the next couple of years. It looks like so in the second quarter was soft, but there were some seasonal factors there, and then you're talking about growth in the back half of 5% to 7%, which I think this is slower than what it was in 2009 and 2010. And I think the capacity that's going in to the Brazilian market is somewhere in the low to -- or low-single digits double digits range. So are you concerned that there may be some more overcapacity that ends up happening in Brazil in that type of scenario?
Raymond Seabrook: Alex, this is Ray. I'm not overly concerned because remember our capacity is tied up with long-term contracts, so if there's overcapacity, no, it doesn't -- it's not affecting us because we are -- we have contacts that make sure it doesn't happen. So if you ask me what I -- if you ask me as a crystal ball for Brazil, I would say that for us, you're talking about, I don't see us building another plant immediately. I see us trying to get some more can lines in the plants we already have. I would say that you could see us maybe adding a can line a year for a couple of years, and then we'll see what happens. Remember, we still got the Olympics. We still got the World Cup coming to Brazil. There is still a lot stuff going on. The economy, there's low inflation, so we got to be careful of what we're doing here, but I would say, it's -- there's still some growth left and I would -- I could see us adding a couple of -- about a line a year, which is it 800 million cans.
John Hayes: And let's not forget that there is a fair amount of imports, as we said it in the prior calls. The fair amount of imports in 2010, and so there's a shortage going in, in 2011. So a decent chunk of this new capacity coming on is just to absorb what was already being demanded back in 2010.
Alex Ovshey - Goldman Sachs Group Inc.: That's helpful. And just on the European bev side, it looks like your volumes are pretty healthy. Are you seeing any impact from the recent macro flare up -- out in Europe on the demand trends here in July and then the start of the third quarter at all?
John Hayes: No, we're not. As you know, we are primarily focused on Western Europe and Eastern Europe. We don't do much in Southern Europe so where some of this decantation is occurring, we really don't do much of there, but even from where we look from the outside looking in, we don't see big changes going on there.
Operator: The next question comes from the line of Dan Schniewind from AMI Asset Management.
Daniel Schniewind: It looks like you guys continue to improve from a bond holder standpoint, and it looks like you guys are -- your metrics look more like an investment-grade company than a high-yield company. Is there any internal interest in actually getting that upgrade? And have you guys been in contact with the rating agencies about that?
Scott Morrison: We talk to the rating agencies all the time. We have found that we can have a tremendous value and have a lot of flexibility with where we're rated right where we're at. We've always been able to raise capital at pretty competitive rates but it gives us a lot of flexibility to pursue acquisitions, to buy back our stocks, to invest in our existing businesses. So we're real happy right where we're at right now.
Operator: Your next question comes from the line of Peter Ruschmeier from Barclays Capital.
Peter Ruschmeier - Barclays Capital: Just a few questions. I'm curious if you can comment on what you're seeing in general line cans, are you surprised to see some of the industry numbers? And maybe provide an update, if you could, on Neuman aluminum and some of your slug business?
Raymond Seabrook: Yes, this Ray. Let's start with the slug business. Slugs worldwide are tight. I mean, fundamentally, is -- there's not any excess -- a lot of excess slug capacity. So as this market grows, we're going to have to consider adding some more slug capacity, I would say. So we're looking at various options. We're trying to improve our asset utilization of what we have, and we're making some investments in what we have to try to make that more efficient, so we're going to do that first. But slug capacity, not just in Europe or North America, everywhere, it's tight. So slug capacity is going to have to be added, so we're trying to figure that out. That's the first thing. General line, we don't really have a very big general line business, and when I think general line, I'm thinking, thin cans and things like that. We do have a very small general line business, but it's very, very small. So quite frankly, I haven't seen anything unbeknownst in that business, it's just sort of -- it's doing relatively well. But for us, it's very, very small. John, do you have anything to add to that?
John Hayes: No, I think that's a good summary. We generally are not in the general line business.
Peter Ruschmeier - Barclays Capital: Okay. And just to clarify, your second half guidance, your food -- the food can business. How much of the decline year-over-year is related to drought conditions and what's going on with agriculture? I mean, is that really -- or is there something else that I'm missing?
Raymond Seabrook: It's not magic. We just -- the numbers are going to kind of roll off a little different than it did the last year. Our food can business is having another excellent, excellent year. If you look at year-to-date results, it's way, way ahead of last year. And some of that's there's various reasons for that. And as we look at -- as we talk to our customers and we look at what they expect, and we look at our quarters, as Scott said, we have 6 less days in the fourth quarter that's going to affect that business. So when we look at it, we're not going to do as well as we did last year, but we're still going to do significantly better than we did the year before. Just trying to give you a heads up that we're not going to do as much as last year for those reasons.
John Hayes: Yes, but let's put it in context. As Ray said that our food and household products business is doing quite well, and recall earlier this spring, late spring, early summer the whole Mississippi Valley was flooded. And so the plantings got in late, now it's been very hot. And so we're just being a little pragmatic relative to what our expectations of the harvest will be. And that's, in part, based on the facts that we can see, and in part, based on the conversations we're having with our customers. And so there's nothing strange going on, it's just we're taking a view on the harvest in the third and fourth quarter.
Peter Ruschmeier - Barclays Capital: Okay. And lastly, if I could, looking at metal beverage Europe, looking at margins kind of in a year-over-year basis is like down 120 basis points. So I'd imagine some of that is just because of price causing margins to be lower on a reported basis, even though they might be more constant. But is there something else going on there or can help you us to understand that, that 120 basis point variance is what's impacting it?
John Hayes: By far, the biggest difference is raw material pass-through. I think if you look just at the LME [ph], I think it's up 25% year-over-year, and you know our cost pass through model, that puts -- as you see, our overall profitability is actually better. The margins are down in large part because the sales are inflated because of the pass-through positions. That is far and away the largest part of it.
Operator: [Operator Instructions] The next question comes from the line of George Staphos from Bank of America Merrill Lynch.
George Staphos: A couple of additional ones. First, as we think about the recent repricing in tinplate over in Europe, were there any issues that you need to contend with as you manage your business? How did that go or how has it been going for you thus far?
John Hayes: We had no midyear price increases in steel in Europe.
George Staphos: Okay. So I guess it's going pretty well for you then. Secondly, in terms of free cash flow, Scott, do you think about -- maybe this year is a somewhat depressed year because of the projects and next year, maybe they're more normalized. If you consider the future, what kind of growth rate do you think you can have on your free cash flow over a 3- to 5-year period? And what do you think the biggest drivers of that are?
Scott Morrison: Well, I think as you -- as we talked about, we've got quite a bit of growth CapEx happening this year. A number of those projects that John talked about are kind of onetime impacts to this year. We expect to still see growth in places like Brazil and China longer-term, but frankly, once you put a plant in, that's the big throw, and then when you add additional lines, it's not a big a throw. We see the CapEx even with continued growth in those markets to come down quite a bit. And all the capital we're spending, all of those projects have nice returns and start flowing cash right away. We expect our free cash flow number to be, even back up this year, the $300 million plus of growth of CapEx. And we expect the earnings to get to another level based on at all these new projects, so we see nice growth over the next few years. With our balance sheet and our capital structure right where we want it gives us a lot of flexibility to return value to shareholders.
Operator: The next question comes from the line of Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank AG: I wondered if you could just update us on that Aluminum Aerosol business and what kind of growth rates you're seeing for sort of the market and then your own business there?
Raymond Seabrook: Yes, this is Ray. The -- our growth rates, they're quite frankly, have been, even -- we knew it was a growth business, but it's been -- and quite a bit better than even we had forecasted when we put the acquisition model together. We're growing -- and we've got growth rates year-to-date in excess of 20%, and I think the second quarter, it was like 18%. So we're -- it's been very strong for us. John, I don't know -- the market I don't know.
John Hayes: Yes, it varies ,obviously by region. South America continues to be quite strong, Europe continues to be quite strong. I think North America, like most of the end markets in the touch -- consumer here in North America, it's been a touch soft, but we continue to see good growth prospects in that business, generally speaking.
Mark Wilde - Deutsche Bank AG: Okay, your footprint right now is just in Europe and in North America?
John Hayes: That is correct.
Operator: [Operator Instructions] The next question comes from the line of Phil Gresh from JP Morgan.
Phil Gresh - JP Morgan Chase & Co: Just wanted to follow up one more question in Brazil. As a contingency plan, I guess, in the event that the volumes aren't what you're expecting, the 5% to 7% in the second half, if it's something closer to flat or even down, is there anything that you would change about what you're doing down there or are you comfortable with the contracts such that it's locked and loaded in terms of 100% of your volumes or just how would you manage something like that?
Raymond Seabrook: The best way I can describe it without going into massive detail, it's locked and loaded.
Phil Gresh - JP Morgan Chase & Co: Okay. And then, just one quick question on the minority interest, could you remind us, obviously, the earnings get, if they get hit on the segment, and they probably get hit on the minority interest line, but just remind us what drives the minority interest line?
Scott Morrison: It's the 40% of Brazil that we don't own.
Operator: The next question is a follow-up question, from the line of George Staphos from Bank of America Merrill Lynch.
George Staphos: One last question around capacity and 12-ounce in the states. Two parts to it. I think last call we talked a little bit about the longer-term optionality you might have, if you need, on the one hand, to take out some 12-ounce capacity, you might be able to utilize that on the food part of the house. Is there any additional thinking as regards to the potential for that to occur in the next 2 to 3 years? And as you think about your contracts for 2012, I think you mentioned earlier that there's business that's up for renewal, I guess, at the end of this year into 2012. I just want to confirm that, and if you would, kind of size it.
Raymond Seabrook: Yes. We -- there's really nothing going on this year. We have some things we're negotiating but there's nothing impacting this year. We do have some businesses up at the end of 2012. So we'll have to negotiate in 2012.
John Hayes: Yes. And George, about your question, really about redeployment of equipment. We have a system around the world that we can do many different things, and this specific answer your question, could we -- are we considering moving some beverage can into food can? We don't have any specific plans on the table, but we certainly know if we want to do something like that, where we want to it, how we want to do it and the cost of which. The other benefit that we have is the ability to take some of our equipment here in North America, if we have to, and deploy it in other parts of the world. We have been doing that, as Ray had mentioned, in terms of up-speeding doing some other things in Asia. We have some levers to pull on that, that gives us, in a way, a capital avoidance as we continue to grow in some of these emerging markets. So that's one of the benefits of having the system that we do. And so we are looking at those types of things. It's a good point.
George Staphos: As I recall, I think Milwaukee was one of the facilities where you had done this, and maybe, perhaps Columbus. But if you could remind me, if you've audited the returns on these types of conversions from bev to food, have they actually met your initial expectations or were they off a bit one way or another?
Raymond Seabrook: Well, as you might imagine, George, the initial answer is in the beginning, they did not meet our initial expectations, but as you said, now they are.
John Hayes: Yes, in fact, I think they're even exceeding our expectations today. So -- but yes, you're right, it's actually just to clarify, it's Milwaukee and Finley is where we did those a dozen years ago or so. And they're performing quite nicely.
George Staphos: I should have remembered Finley. Okay.
Operator: Thank you. Mr. Hayes, it appears at this time, that there are no further questions. I'll turn the call back over to you.
John Hayes: Okay, well, thank you, all, very much. Just one housekeeping item. We are planning on having an investor field trip out here in Colorado. The dates will be October 10 and 11, and please contact Ann Scott to register for the event. Other than that, thank you very much for participating, and we look forward to talking to you all 3 months from now. Take care.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you and have a good day.